Operator: Ladies and gentlemen, thank you for standing by. Welcome to AptarGroup’s 2014 First Quarter Conference Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session. Introducing today’s conference call is Mr. Matt DellaMaria, Vice President, Investor Relations. Please go ahead, sir.
Matthew DellaMaria: Thank you, Jonathan and welcome, everyone. Participating on the call today are Steve Hagge, President and Chief Executive Officer; and Bob Kuhn, Executive Vice President, Chief Financial Officer and Secretary. Steve will begin our call with an overview of our quarterly performance. Bob will then discuss our financial results in greater detail, after which, we’ll open it up for questions. Information that will be discussed on today’s call includes some forward-looking comments. Actual results or outcomes could differ from those projected or contained in the forward-looking statements. Please refer to AptarGroup’s SEC filings to review factors that could cause actual results to differ materially from those projected or contained in the forward-looking statements. We will post a replay of this conference call on our website. AptarGroup undertakes no obligation to update the forward-looking information contained therein. I would now like to turn the conference over to, Steve.
Stephen Hagge: Thanks, Matt and good morning everyone. Yesterday, we were pleased to report an excellent quarter that was driven by broad based demand for our industry leading innovative solutions. Similar to what we saw in the fourth quarter, sales increased in each business segment and market geographic region. Bob will cover the details on the market and geographic growth in a few minutes. We reported record, first quarter earnings of $0.71 per share. Earnings reflected operational leverage from gains and volumes. We also realized savings from our European restructuring initiative that was substantially completed at the end of 2013. However, these savings were offset by certain headwinds in the quarter, including negative currency effects and facility start-up cost primarily related to our Beauty and Home segment, Latin America operation and a higher overall effective tax rate. I’d like to give you a few comments on each business segment and then I’ll turn it over to Bob. Our Beauty and Home segment experienced strong demand and beauty and personal care market across each geographic region. Profitability improved over the prior year particularly, impart due to improved operating efficiencies in the U.S. and savings realized by our European restructuring plan. However, these gains were partially offset by the weaker currency conditions and facility start-up cost that I previously mentioned. Skin care continues to be very active in the growing consumer market. In the quarter, we supplied a variety of dispensing solutions to customers to both the facial and body skin care categories. In the facial skincare category, our lotion pumps and [inaudible] systems were chosen by several of our customers in Europe and the U.S. and the anti-wrinkle lotions, cosmetic products and hydrating syrups. In the body skincare category, we continue to be the preferred solution provider. The customers were launching new spray on the go moisturizers that utilize our bag-on valve system with walking actuators. This includes both branded and private labels. This particular category is transforming in ways similar to what we saw with sprayable sunscreen market several years ago. We also participated in several new fragrance launches in Europe, in U.S. and Brazil including fragrances by LVMH, Cartier and Coty. In the homecare market, our dispensing closures was chosen by OxiClean Dishwashing detergent product. Now looking at our Pharma segment we had another excellent quarter. Demand for the prescription drug market was strong, particularly for our metered dose inhalers which deliver asthma medication and our nasal delivery systems for pain medications. In the consumer healthcare market, demand was strong for our nasal spray pumps used with decongestant and our Ophthalmic Squeeze Dispenser for eye lubricants. Sales to the injectable market also increased in the quarter. Segment income increased over the prior year, and overall profitability was driven by the strong sales volume in the quarter. We participated in several new customers’ product introductions in the quarter which include in the consumer health care market our Ophthalmic Squeeze Dispenser was chosen by two European customers for use with their eye moisturizing product. And a new Vicks[ph] brand of nasal was introduced in Europe with our bag on valve having a special spout actuator. Now in the prescription drug market as we mentioned last quarter, the launch of over-the-counter nasal continues to do quite well, and we continue to see good growth in the asthma inhaler treatment category. Now turning to our Food and Beverage segment. This segment also had a good quarter with sales increasing in both the beverage and food markets and our segment income also increased in the quarter. It was another quarter in terms of new product launches in both the food and beverage markets. In the Food market, following the successful restage of their flagship mayonnaise with our inverted SimpliSqueeze closure in Brazil, Unilever has introduced a new mustard package with the same dispensing closure. Now in Europe, Nestle introduced a line of barbeque sauces using our SimpliSqueeze dispensing closures. In the Beverage market, water enhancers and concentrated flavorings continue to be an area where our control expertise is taking us to new accounts and new regions. In the quarter, two new concentrates were introduced. One in the U.S. in the dairy category called Milk Splash and the other a water enhancer in the UK. Now brief comment about our capital allocation, as we announced earlier this year, we increased our quarterly dividend by 12% and we’re now paying a dividend on an annualized basis of $1.12 per share. 2014 will mark our 21st consecutive year of increased dividend. Now looking forward to the second quarter, I’m pleased with the broad based sales increase we’ve seen and expect the most of that momentum has continued over the second quarter. I expect that each segment is going to achieve core sales increase over the prior year, even if last year’s second quarter was quite strong. It looks like we’ll again be experiencing challenging currency environments in the developing regions in the second quarter, especially for our Beauty and Home operations. But I do expect profitability to continue to improve in this segment as the year progresses, due to the operational improvement in the U.S. and increased sales overall. We also don’t anticipate the impact from the resin pricing adjustment to be as favorable as it was in the prior year. Overall, we expect earnings over the record level that we achieved in the 2013 second quarter. At this time, I’ll turn it over to Bob who will review some of the details behind our financial results.
Robert Kuhn: Thank you, Steve and good morning everyone. As Steve mentioned, we had another very good quarter. Currency did not have a significant impact on translated sales in the quarter and therefore reported and core sales each grew 9%. We also reported strong earnings in the quarter of $0.71, and this compares to the $0.64 in the prior year, when charges relating to the restructured plan of $0.05 are excluded from the prior year reported results. Cash flow from operations this quarter totaled $32 million, compared to $26 million a year ago. Capital expenditures this quarter were approximately $43 million, compared to approximately $35 million in the prior year. Therefore, free cash flow which we define cash flow from operations plus capital expenditures, were slightly below the prior year levels by about $2 million. At the end of the quarter on a gross basis, debt-to-capital was approximately 26%, while on a net basis it was 12%. Regarding our share repurchase program, we spent approximately $13 million to repurchase 200,000 shares in the quarter. This brings the remaining balance of shares authorized for repurchase to approximately $3.8 million. Turning to market details by business segment, our Beauty and Home segment’s core sales increased 9% over the prior year. Looking at our market on a constant currency basis compared to the prior year, sales to the beauty market increased 10%; sales to the personal care market also increased 10%; and sales to the homecare market increased 2%. Our Pharma segment core sales increased 12% over the prior year. Looking at our markets on a constant currency basis compared to the prior year, sales for the prescription market increased 9%, while sales to the consumer healthcare market increased 27%; and sales to the injection market increased 6%. Our Food and Beverage segment core sales increased 5% over the prior year and on a constant currency basis, sales to the beverage market increased 7%, while sales to the food market increased 4%. From a geographic view, it was a strong balanced quarter. Core sales excluding changes in currency exchange rate increased in each region. Our core sales in the U.S. grew by 9% compared to the prior year; Europe was up 8%; Latin America grew by 14%; and Asia was 16%. I would like to point out that devaluation of the Latin American currencies was significant in the quarter and, our Latin American sales on a US dollar reported basis actually declined approximately 6% from the prior year. Looking forward, we expect depreciation and amortization for 2014 to be in the area of $160 million, and capital expenditures to be approximately $190 million, including the $26 million related to the Stelmi expansion project that we announced last year. I would like to point out that these amounts could vary depending upon changes in exchange rates. We believe our effective tax rate for 2014 will be in the range of 34% to 35%. We currently estimate that diluted earnings per share for the second quarter of 2014 will be in the range of $0.78 to $0.83 per share compared to $0.77 per share in the prior year, when the negative impact from charges related to our restructuring plan were $0.04 per share are excluded from the prior year results. At this time, Steve and I would be glad to answer any of your questions.
Operator: [Operator Instructions]. And in the interest of time and fairness to all participants, please limit yourself to two questions and one follow on questions then come back into the queue if you have more questions as time allows. Our first question comes from the line of Ghansham Panjabi from Baird. Your question please.
Ghansham Panjabi – Robert W. Baird: Hey guys. Good morning.
Stephen Hagge: Good morning, Ghansham.
Robert Kuhn: Good morning, Ghansham.
Ghansham Panjabi – Robert W. Baird: Just given the inflationary conditions across some of the emerging markets that you’re exposed to, lot of your customers are talking about either raising prices dramatically or in the thought of doing so. How should we think about the impact on volumes for you in terms of you positioning Latin America specifically?
Stephen Hagge: What we’re seeing I think you’ve hit on a key point for us. We are seeing a quite bit of inflation going on particularly today in Argentina and to a certain degree also in Brazil. We are increasing prices we tend to do that somewhat 30 days after the facts, we do a get a bit of a negative impact. We are concerned that we are going to see some slowing in volume as we get to the second part of the year, because with the size of these increases it’s going to be difficult for the consumers to continue buying the product. So it’s something we monitor closely. We actually had a pretty good volume quarter in the first quarter. So we’ll see how things play out for the remainder of the year.
Ghansham Panjabi – Robert W. Baird: Okay. And then on Pharmaceutical I mean obviously significant growth there I think you had a pretty easy comp from a year ago. But in terms of the actual operating margin itself, that wasn’t the level of improvement that we certainly would have thought so. Was there any unfavorable variances in their foreign exchange or something like that impacted that business?
Stephen Hagge: No I think again Jonathan we’ve indicated that our margins are going to between 23% and 28%, so we ended up the quarter at 27% which is really on the high side of that. So overall we’re pretty pleased with the overall operating margins that we achieved in the quarter. So I would not anticipate I think overall we had good volume. Our volume growth was good across all three of our segments. So it’s going to be the mix of the products going forward, but there was nothing unusual in the quarter.
Ghansham Panjabi – Robert W. Baird: Okay, great. Thanks so much, guys.
Stephen Hagge: Thanks.
Operator: Thank you. Our next question comes from the line of Adam Josephson from KeyBanc. Your question please.
Adam Josephson – KeyBanc Capital Markets Inc.: Thanks. Good morning everyone.
Stephen Hagge: Good morning, Adam.
Robert Kuhn: Hey, Adam.
Adam Josephson – KeyBanc Capital Markets Inc.: Congratulations on a really good quarter. Couple of questions, Steve your core sales growth picked up substantially the last two quarters after several quarters of sub 5% growth. What if anything, would you attribute that the recent pick up to?
Stephen Hagge: Well, I think if you look at the first quarter we had a bit of an easier comparison because last year’s we were actually down a bit in the first quarter. And secondly, I think we’ve seen the success of our new products coming out. We’re seeing good growth across all three segments and we’re seeing a recovery in the Beauty and Home segment particularly in North America where we had some challenges last year. So I think we still feel pretty good. I think there are some macro events going on worldwide that may provide challenges as we go through the end of the year. But right now I think our customers are pretty realistically optimistic if I could use that term, going into the rest of 2014.
Adam Josephson – KeyBanc Capital Markets Inc.: Got it. And Steve one more on Beauty and Home, your margins were 7.1% higher than a year ago despite the FX drag and start-up costs that you mentioned, but nonetheless lower than they’ve been in recent years. What are your expectations in terms of where that segment’s margins ought to be on a consistent basis in the quarters ahead?
Stephen Hagge: Well, I think first of all I think you’re right, Adam in that. We took about a 1 million charge in the quarter for the start-up cost and about 1.8 million in terms of transaction cost in Latin America, so both of those had a pretty significant drag in the earnings. Overall, we do continue to expect Beauty and Home should be operating and around the 10% segment income side. We expect – we’re not going to get there frankly in 2014, but we do see progression of growth coming back over the next couple of years to be able to get to those levels.
Adam Josephson – KeyBanc Capital Markets Inc.: Thanks a lot, Steve.
Operator: Thank you. Our next question comes from the line of George Staphos from Bank of America/Merrill Lynch.
George Staphos – Bank of America/Merrill Lynch: Thanks. Hi guys. Good morning. Congratulations on the progress. I wanted to ask you a quick question on Beauty and Home may be segueing on Adam questioning. Steve, did I hear you correctly saying that you expected to see Beauty and Home profitability improve over the course of the year? I took the implication meaning that may be 2Q you might not be up. I know you typically don’t guide for the segments, but I just want to see if there is anything that we should have picked up or had our antenna up for on that comment.
Stephen Hagge: No, I just think that what we’re going to be seeing is we’re still going to have some of the start-up costs particularly related to the new Columbian facility going in the second quarter. So, we’re going to have a little bit of that and again, the European restructuring positive side we’re going to continue to ramp up as we go to the second. So I’m positive we’re going to be – I’m very optimistic that we’re going to be seeing improvements as you said George we don’t comment on a quarter to quarter basis.
George Staphos – Bank of America/Merrill Lynch: Okay. Fair enough. But we also shouldn’t take from your comment any more caution than normal about the second quarter?
Stephen Hagge: No, that again I apologize if I was giving that inference.
George Staphos – Bank of America/Merrill Lynch: Okay. May be we just heard it incorrectly. No problem. Secondly, it doesn’t sound like the Stelmi capacity will fit positively sounds like Stelmi is capacity expansion is just progressing smoothly, could you confirm that? And could you confirm where you are with the roll out and whether there might be any inefficiency etcetera related to that later in the year?
Stephen Hagge: It’s a good question. So what we’ve done is we’re progressing according to the schedule that we put together a year ago. We have ordered a fair amount of the equipment that we’re going to need and that has about a year lead time. So that equipment’s been ordered. We expect to begin construction of the facility expansions that will be part of this whole capacity expansion, during the second half of the year may be linked second quarter into the second half. So, again everything at this point is on target. One of the other things George and I think it’s positive for us, we’re actually beginning to hiring side, because we’ll need to go through some training as we ramp up our personnel in that area and those additional costs we’ll be carrying through the second half of the year.
George Staphos – Bank of America/Merrill Lynch: Okay. My last follow-on if you will, could you comment whether, weather had any effect realizing it’s difficult to parch this out over the quarter? And did you see an exit volume trend in March or early April that was higher and if so, how did you build that in your guidance? Thanks.
Stephen Hagge: It’s a good question. I think the biggest negative we had on weather, we had a shutdown of our North Carolina facility for a couple of days because of some snow and we had some interruption both in the Northwest and here in the Midwest. Offsetting those, frankly Europe had a very good weather period, so we’re actually pretty positive over there. So I think when you look at our sales coming back out we actually saw progressive increase in sales as we went through the quarter. So we had a pretty strong exit to the quarter in terms of overall revenue.
Robert Kuhn: And George, I would just add to that that’s pretty typical for us in the first quarter as March tends to be one of our stronger months of the year. So, I would say nothing unusual to read into that, but it was progressively stronger exiting the quarter than heading into it.
George Staphos – Bank of America/Merrill Lynch: Thank you, Bob. I’ll get back in queue.
Operator: Thank you. Our next question comes from the line of Chip Dillon from Vertical Research Partners. Your question please.
Chip Dillon – Vertical Research Partners: Hi. Yes good morning.
Stephen Hagge: Hey, Chip.
Chip Dillon – Vertical Research Partners: On the Stelmi expansion, could you give me some idea of how – once the construction is completed for the expansion how long do you think it takes that process to ramp up? In other words, I guess there is a phase of where you incurring a lot of expense and then there is a phase once you’re kind of shaking down where you fill it up. How should we think about that that unfolding over the next few years?
Stephen Hagge: Well I think you’re going to see some additional costs as we get people trained in the second half of ‘14 because we need to get people on board. But you’re right we need to go through commission all of the equipment getting all that approved with the customers. We think that can occur relatively quickly, so we would expect to see positive results for the first half of 2015. But it’s going to – then we’ll have to come back and build a sales through there so there is certainly going to be some additional costs that we’re going to be carrying through depreciation etcetera as well as labor as we get into 2015. So we don’t have unfortunately, an exact number for that Chip but it will be in ‘14 and into 15 we’ll still be carrying some ramp up cost.
Chip Dillon – Vertical Research Partners: Got you. And then just shifting gears a little bit, I know this would certainly with a strong stock performance your employees have been smart to exercise their options. And it looks like your exercising grant ratio is about 2.5% or so of the outstanding each year, and is that something that you target especially as you think about the future? And that does put I guess pressure on you to buyback at least that much if you want to neutralize the impact depending on fast you’re exercised. But can you just talk about how you view that?
Stephen Hagge: Well I guess first of all we view the equity component to compensation as a critical factor. And given Aptar’s worldwide outlook that the options have been an effective way to get our employees across the world to benefit in terms of where Aptar’s overall performance has gone so basically line that up with shareholders. If you look at our option grants over the last almost 20 years, we’ve been pretty consistent about that 2% rate, and we generally have been quite a bit not quite a bit, but 3% or so above that in terms of our stock buyback rate. So we’ve been consistent to that. We consider the equity to be a critical component of long term comp, so it’s an area that we’ll continue to look at, but each year the board makes an evaluation what they want to do with that.
Chip Dillon – Vertical Research Partners: Got you. Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Alex Ovshey from Goldman Sachs. Your question please.
Alex Ovshey – Goldman Sachs: Thank you. Good morning, Steve and Bob.
Stephen Hagge: Hey, Alex.
Robert Kuhn: Hey, Alex.
Alex Ovshey – Goldman Sachs: First question, you guys were talking very positively about the opportunity you have in the skincare market with your bag-on valves technology if I understood it correctly. Can you remind me that some of the proprietary to you? And you also made the comparison to the opportunity that you saw in the skincare market several years ago. How do you see the size of the skincare market relative to sun care market as this opportunity plays out for you?
Stephen Hagge: Well again I think if you look from ours first of all technology – the technology that we have is not necessarily proprietary some of the actuators or the device they go on the top of our proprietary and those I do think add quite a bit of terms how the product performs. So what we’ve seen is starting with the Vaseline intensive care on hairspray product people like that. They’re actually changing formulas now to be winter formulas, summer formulas and when you are out there first what we’re seeing is other customers coming to us because we’ve got more expertise to that. When you look at the volume the whole lotion market is probably even bigger than the sun care market overall. What we see is people starting to convert and we think that’s good for us because we offer both sides of that. We got pump products and we have sprays. So I think again it’s a diversity of the product offering that Aptar has and the ability to meet the customer needs puts us in a good position to be able to grow with that overall market.
Alex Ovshey – Goldman Sachs: Got it, Steve. And sort of the addressable size of that market and potential profit pool can you sort of help frame that for us?
Stephen Hagge: Unfortunately, I don’t have those numbers. I mean I don’t have them in front of me in terms of what the size would be.
Alex Ovshey – Goldman Sachs: Got it.
Robert Kuhn: And it’s not really a new market for us, if you look at it’s an alternative for heavy lotion based body care type product for which we have a dominant market share as well. So it’s a tradeoff between the typical lotion pump where you have to rub in the cream versus the spray and go, but sun care the use up rate is much higher. So net, net you may end up with greater or growing volumes in that category but it’s a bit of cannibalization.
Alex Ovshey – Goldman Sachs: Understand. And just on the price cost, I think you mentioned it will be a little bit less favorable price resin cost. What’s your expectation for the full year? Is that going to be a modest headwind for you in 2014? How should we think about that?
Robert Kuhn: Yeah, it’s too tough for us to guess what it’s going to be for the full year. I mean I can give you a little color on Q2. Last year and from Q1, Q2 we saw a pretty significant decrease in resin and therefore, because of the lag, we had a pretty good positive last year and second quarter. This year while resin is decreasing, it’s more flat-lining so we’re not expecting as much of a positive in the second quarter this year as were last year. But we wouldn’t be able to give you any guidance for the remainder of the year.
Alex Ovshey – Goldman Sachs: That’s helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Jon Andersen from William Blair. Your question please.
Jon Andersen – William Blair: Hi. Good morning, Steve. Good morning, Bob.
Stephen Hagge: Hey, Jon.
Robert Kuhn: Hey, Jon.
Jon Andersen – William Blair: The one area that stands out in terms of the growth in the quarter, strong growth across the board as you pointed out is the consumer healthcare business 27% I think you indicated. Could you talk a little bit more about the drivers of that growth in the quarter and the kind of sustainability as we look ahead over the next couple of quarters?
Stephen Hagge: Well first of all Jon, we have to take a look at compare it to last year so we had a bit of an easier comp to last year. That being said, we’re still pretty bullish in terms of where the consumer healthcare is going. So what we saw is very good growth in the decongestant market, and one of the markets that we’ve talked about in the call is actually relatively new for us is the eye care market. And what Ophthalmic Squeeze Dispenser today is growing significantly in that category and we see quite a bit of potential growth whether it’s artificial tears, high moisturizing type products. So again, we’re very bullish in terms of both of those. Also products in the area continue to do well particularly nasal. It could grow, but again against a little bit of easier comp in terms of where we were in the first quarter.
Jon Andersen – William Blair: That’s helpful. I think on the press release you comment on new projects coming on over the next 12 months and I’m just wondering if there was more kind of texture that you could provide there, the level of new project activity greater than you seen over the past 12 months or kind of inline any kind of texture there would be helpful?
Stephen Hagge: It’s tough to come back and tell those things get to market, but I do think what we are seeing is more new products, more new projects with our customers today than we saw for example, a year ago. And that is occurring to cost almost all of our different segments, so we’ve got quite a few new things how soon they come to market and frankly in some cases, particularly in Pharma do they even get to market it’s hard to tell. But I do think it reflects a little bit of our customers more optimistic look to the overall marketplace, and it also reflects Aptar’s innovative products that we’re working with them on to give them alternative facings in the marketplace.
Jon Andersen – William Blair: Just one quick follow up on Stelmi, the capacity situation at Stelmi and I understand the investments that’s going on now that sounds like will bring on additional capacity in ‘15. But the situation today is that limiting the growth of that business at this point or your ability to take out new business? And as capacity comes online over the next several quarters could we see growth accelerate there in ‘15? Thanks.
Stephen Hagge: Well, overall I guess on the Stelmi side, we’re not seeing it being limiting factor in terms of growth. It does sometimes affect our lead times in terms of new product and when we can come out, but overall we’re able to deal with our customers’ needs to that side. So, certainly as we get into ‘15 we expect to be able to ramp up sales as we add additional capacity, but right now it’s not negatively affecting the sales for us.
Jon Andersen – William Blair: Thanks guys. Congrats on a great quarter.
Stephen Hagge: Thank you.
Robert Kuhn: Thanks, John.
Operator: Our next question comes from the line of Chris Manuel from Wells Fargo. Your question please.
Christopher Manuel – Wells Fargo Securities: Yes good morning gentlemen and congratulations on a good start of the year.
Stephen Hagge: Thanks, Chris.
Christopher Manuel – Wells Fargo Securities: Just a couple of quick ones. I wanted to follow up on Stelmi but kind of start there. When you bought the business, it didn’t have much in the way of sales and revenue here in North America I believe it was mostly European centric business. I know part of your goal through time has been to expand that a bit. At this point in time, have you begun or where you’re at with if you can share this with us commercializing and with customer activity here in North America?
Stephen Hagge: Well I think first of all, if you look at Stelmi in terms of their sales here in North America about 30% of Stelmi’s revenue is sold into the North American market. So while it’s not as large as what we would like to see in the future, it’s certainly not a bad start. We do have sales organization in place here selling the product. What we’re beginning to see with Aptar’s now acquiring Stelmi, we’re getting involved in more and more projects here in North America. Initially, we worked with our customers letting them know that we’d have to be importing these products from Europe, but given the size of that, it’s not a huge transportation issue. So we’re still working today on a lot of new projects and we see a lot of activity in the North American market.
Christopher Manuel – Wells Fargo Securities: Okay, that’s helpful. And then I’m trying to get a sense on was your pretty good gross rates across many of these segments you talked and looked at geographically as so that was a pretty diverse piece. I think earlier you mentioned that weather was good in a few regions. As you saw some of that growth, how would you characterize the state of the consumer? Do you think that you mentioned earlier as well too that there may be some headwinds from a macro perspective from the end of the year so may be if you could expand on that a bit? But as you look across the customer base today, do you still think that these growth rates are somewhat sustainable over the next year or two or is there some concern you have there?
Stephen Hagge: I think again when you talk to consumers, it’s really a very different, different parts of the world that we operate in. So in the U.S., I think the consumer as well as in Europe we’re seeing that being kind of okay consumer continues I think improves somewhat. I mean there is certainly challenges when you get into Latin America the consumers are doing reasonably well in Asia so it’s different costs each of the regions. I think it’s important though that we look at Aptar our long term growth rate is at 6% to 8% across all of Aptar. And what our real advantage is, I think we view the company as the diversity of what we have whether it’s product, whether it’s market or geographic and we still feel that that 6% to 8% long term growth rate still makes sense over the next several years.
Christopher Manuel – Wells Fargo Securities: Okay. That’s helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Al Kabili from Macquarie. Your question please
Albert Kabili – Macquarie Research: Hi thanks. Good morning. Bob, I just wanted to follow up on the resin adjustment and is there any way help us size up the year-over-year variance that that would have on earnings?
Robert Kuhn: Sure. So, for Q1 again comparing Q1 2014 to Q1 2013, it had a positive impact of about 1.5 million in the first quarter.
Albert Kabili – Macquarie Research: Okay. And then how about on 2Q?
Robert Kuhn: On Q2 what I can tell you is that we had about $3 million positive in Q2 last year comparing Q2 ‘13 to Q2 ‘12. So we’ll see how it plays out, but we’re not expecting that same 3 million over last year’s number.
Albert Kabili – Macquarie Research: Okay, got it. And then, if you could remind us Q3 at that point it’s sort of a more normalized or not a sizeable of a resin adjustment as we look through the Q3 and into Q4 is that fair?
Stephen Hagge: It’s hard to say I mean these are factors that our outside of our control. So I mean we need to look back the last several years I guess two more volatile quarters have been the first quarter and the second quarter and then we’ve seen a little bit more flat-lining of predictability in Q3 and sometimes even a decrease in Q4. But I wouldn’t venture a guess to say that’s the trend and it will continue going on in the future. I mean any kind of macroeconomic event in the Middle East or oil or hurricane in the third quarter and U.S. and any of those things could impact resins that are going out. But that is it’s been a little bit more stable in the third and fourth last couple of years.
Albert Kabili – Macquarie Research: Right. Okay, okay. That’s helpful. And then also, just wanted to follow up on the commentary on the European restructuring, did I get that right while you saw some positive contribution there, you weren’t yet at that full annualized run rate in the first quarter and so you’ll see a step up in the benefit from that in the second quarter. Did I get that right?
Robert Kuhn: We’re actually pretty close if you look at the gross savings we had in the first quarter it was pretty close to $2.5 million. So, on an annualized basis you’re right at that 10 million. We did have about $0.5 million in savings last year in the first quarter. So the net positive Q1 ‘14 over Q1 ‘13 was roughly 2 million, but on a gross basis we’re pretty close to annualized basis.
Albert Kabili – Macquarie Research: Okay.
Stephen Hagge: What you got we will be saving we still have certain expenses as we move some of the equipment even if it’s a second it will continue to ramp as we get through the end of the year.
Albert Kabili – Macquarie Research: Okay. Good. All right. Thanks. And then Steve, I guess as far as I think you had mentioned that your customers are feeling pretty reasonably optimistic on things in general. And I was wondering you could may be give us a sense of, has there been a change in tone in that regard over the last say, three months, and if so, any notable variations by geography? I know you mentioned some caution around but how about in the U.S. as well has that tone improved over the last three months or has it been more or less consistent?
Stephen Hagge: I think it’s more or less consistent I mean again I think if you look at last year we were when you look at our European business, which is really much more of a macro worldwide business given some of our fragrance business and pharmaceutical. We saw our customers continue to look into a lot of new introductions, and again a lot of that had to do with new products that we’re bringing up. So, we’re seeing a lot of these projects and frankly the enthusiasm with our customer reflecting what products we’re bringing to them to help them come out. But I don’t think it’s been fundamental change over the last three months. The only area that we’ve seen more of a challenge to would be Latin America given some of the inflationary issues our customers are much more cautionary down there today than they were six months ago.
Albert Kabili – Macquarie Research: Okay. Appreciate it. Thanks a lot Steve.
Stephen Hagge: Thanks.
Operator: Thank you. Our next question comes from the line of Jason Rodgers from Great Lakes Review.
Jason Rodgers – Great Lakes Review: Good morning guys.
Stephen Hagge: Good morning.
Jason Rodgers – Great Lakes Review: Would you provide the growth in Food and Beverage if you take out the lower tolling sales for the quarter?
Robert Kuhn: It impacted about a 1% so it would have taken product sales from the core sales from 5% to 6%.
Jason Rodgers – Great Lakes Review: And if you could just provide some general commentary on acquisitions the pricing you’re seeing any opportunity is there in the forefront? Thank you.
Stephen Hagge: Well on the acquisition side there continues to be several potential companies that either are may be coming into the market or rumor to come to the market. So, it’s a scenario that we’ll continue to look at certainly if you look at where the multiples have come back in terms of pricing, they have gone up over the last year rather than going down. So, acquisitions on a whole, on average, would have been somewhat more expensive today than they would have been 12 months ago. But again we’ll continue to evaluate anything that makes sense strategically for Aptar in the M&A category.
Operator: Thank you. Our next question comes from the line of Debbie Jones from Deutsche Bank. Your question please.
Deborah Jones – Deutsche Bank: Hi good morning.
Stephen Hagge: Hi, Debbie.
Deborah Jones – Deutsche Bank: I just wanted to ask a question about your credit your cash and also looking at your annual dividend it was bit above your target ratio you’ve had in the past your 2013 EPS and after-mix for 2014. Can you read anything into this and how are you feeling about your payout ratio target given your low leverage levels?
Stephen Hagge: Overall, I mean you’re right Debbie it’s a little bit outside the upper end of the range we’ve been indicating. But I think just overall in general I would say the entire industry has been creeping upwards a little bit. So we’re comfortable with being a little bit outside of that range for now, but we’ll be pretty close by the time you get to the end of 2014 heading into ‘15.
Deborah Jones – Deutsche Bank: Okay. And then you talked a lot about the volume uptick and it looks like you have a reason that you are more optimistic about U.S. Beauty and Home. I’m just wondering in that specific business are they a product areas or trends that you remain concerned about in the demand utilization perspective that might continue to negatively impact the business?
Stephen Hagge: I don’t think there is not one product that actually can move that’s one of the distinct things that actually helps Aptar is quite a bit of the diversity in the market diversity we have in the North America. So I don’t think there is anything one area there again the one plus that we see and I think North America is the leader for some of these sprayable lotions and that is seen initially in the U.S. and frankly we think that will continue to expand overseas. But that’s probably the one kind of major category that we see a positive going into the remainder of the year.
Deborah Jones – Deutsche Bank: Okay. Thank you very much.
Operator: Thank you. Our next question comes from the line of Brian Rafn from Morgan Dempsey Capital. Your question please.
Brian Rafn – Morgan Dempsey Capital Management: Morning Steve and Bob.
Stephen Hagge: Good morning, Brian.
Brian Rafn – Morgan Dempsey Capital Management: Could you talk a little bit you were talking about kind of your new project activity can you give us a little more granular visibility. Are launches more global in scope? Are they more regional? Are you seeing still launches in the unit volumes in the millions? Is there any shift branded versus private label? And how many of the new launches are really being driven by some of your new technology like bag-on valve or [inaudible]?
Stephen Hagge: That’s a big question I think there is some consistency where we’re seeing some of our customers doing looking more a worldwide launching staging those I think they have to do with some of the confidence to-date they have in the market. So I would say it’s a bit of a trend if you’re looking it more of a worldwide but there is a stage introduction and doing it one pop every country. When you look at branded versus non-branded that really becomes much more regional. I mean there that’s a regional trend whether that’s Europe U.S. Latin America there is no question that we participated in more store brands if you will introduction just because of the growth in that market and what we do see is our branded customers trying to come back and use packaging to differentiate themselves against those store brands. So that’s a trend that we’ve seen over the last couple of years. But outside of that I don’ think there is anything that is a major change over the last certainly over the last 12 months to 18 months.
Brian Rafn – Morgan Dempsey Capital Management: Okay. So kind of 50,000 foot view on Stelmi, can you give us a sense what’s your new capacity growth will be on either if you don’t square footage space or dollar sales capacity that you are adding? And can you give us a little sense as to what where the sales global sales would be may be in 2014 or 2013 versus where you brought Stelmi from legacy basis few years ago?
Stephen Hagge: Again some of that detail I probably not going to get back into. I can tell you that when we talked about is that the capacity that we’re adding, the equipment particularly the mix of which is the largest part of what we’re adding. We’ll add capacity of about 40% to what we had in Stelmi. So, most of that will translate again based on currency to revenue if we’re able to fully utilize that. Keep in mind that ramping that up as we finally bring it on and it’s not going to occur from day one to day two. So, we’ll be looking to do that over several year period.
Brian Rafn – Morgan Dempsey Capital Management: Okay. And Steve, from your sense kind of what are you doing from a labor standpoint number shift may be how much over time there has been a little discussions salary wage about where you’re using the minimum wage. What do you see globally in wages and what do you think kind of in labor utilization?
Stephen Hagge: I think first of Aptar’s always been when we’ve looked at labor, we have almost none of our employees that would be quote to minimum wage levels. In terms of a living wage I think across the world, we’ve been pretty consistent about how we’ve paid our employees. Our overtime has to do with where capacity and where demand in the market and we use that as the lever. If we have a lot more demand we’ll try to use overtime to try to fill that we determine if that’s something long term we need to add capacity. So in some areas and in Europe we’re seeing this today we’re stretched a bit capacity as we’re adding on the capacity during all of 2014. So we’re adding overtime in those areas but I think that’s just business as usual there is nothing unusual that we’re doing today.
Brian Rafn – Morgan Dempsey Capital Management: Okay. And then you talked about new products Steve you mentioned the world Dairy Splash and the ophthalmic that eye spray is that relative to contact lens also relative to eye lubricant?
Stephen Hagge: It’s going to be actually for artificial tears anything that has to do with that and the real advantage with that on the eye product is you do not have to put in a preservative. And it gives you a multi-dosing capability without a preservative which we think is a very big advantage in the market. The product in the beverage concentrated product to be able to flavor milk and I just got introduced your Target stores today and that’s a whole new entry into a market that didn’t exist prior to about a month ago. So we’ll see how that product plays out in the marketplace.
Brian Rafn – Morgan Dempsey Capital Management: Good job guys as always. Thank you.
Stephen Hagge: Thank you.
Robert Kuhn: Thanks, Brian.
Operator: Thank you. Our next question comes from the line of a follow up from Adam Josephson from KeyBanc.
Adam Josephson – KeyBanc Capital Markets: Thanks for taking my follow up, just a couple of quick ones. Steve, in terms of Latin America, how concerned are you about the inflation currency devaluation etcetera on those markets on a longer term if at all? And how does it affect your approach to that market appreciating that Latin America is not just one market?
Stephen Hagge: Yeah it’s first of all I think we’ve been committed to the Latin American markets for years and this isn’t the first time they have gone through some of these challenges. It’s something that we have to watch very closely though in terms of how we pass along additional cost to our customers, how we manage cash in the region. So it is a concern of ours but it is certainly not one that we would come back and go we’re going to exit the market. So I think you made a very good point, Adam when you talked when you talk about America you have a lot of Argentina is not Brazil. So we see different challenges in each of the markets. But overall, we still see very good growth coming out of the key markets but it’s one that we’re paying a lot closer attention to, to manage all of those cost challenges that we have today.
Robert Kuhn: I think one of the things that we will continue to do is we’ll continue to invest in Latin America to get more production locally, to help at least offset some of the FX impact on some of the imports on what we’re bringing into the region today. So, that will be a continued focus for us as to continue to roll out localized production. So that’s one area that we’re doing or at least part of those impacts.
Adam Josephson – KeyBanc Capital Markets: Thanks, Bob and Steve for that. And just Steve one more Beauty and Home I know you’ve talked about this in your prepared remarks and elaborated sense. But can you talk a little more about the beauty and personal care markets that boosted normally the quarter. How much of that pick was specifically attributable to skin care with the spray or the lotion and the like and how sustainable do you think that pick up to be based on your pipeline?
Stephen Hagge: I think again it’s difficult to break those back down because everything is a piece of a much bigger puzzle. And again I think in Beauty and Home we did have a soft quarter in the first quarter of 2013. That being said, and I think even in my prepared remarks where we’re still optimistic about we’re going to see these sales grow in Beauty and Home and even more importantly seeing improved operational results as we go through the year for the efforts that we’re doing both in Europe but also here in North America when we had certain challenges back in 2013. But it’s difficult at this point to give you a lot more color as to all these specifics. The good news for us we’re growing both in personal care and in fragrance so it’s pretty broad based in terms of growth.
Adam Josephson – KeyBanc Capital Markets: Thanks a lot, Steve.
Operator: Thank you. Our next question is a follow up question from the line of George Staphos from Bank of America/Merrill Lynch.
George Staphos – Bank of America/Merrill Lynch: Thanks. Hi guys. One bigger picture question, every quarter probably every other quarter one of us will ask you the question, are you seeing more impact from competition in your markets? And the usual answer from the company is, no. When we talk to some of the other companies we’re in the market or who they represent they will often cite certain specifically Aptar as somebody who is emulator or certainly the products the approaches that they are taking are very similar to what Aptar has done for the last 20 plus years. So, if you’re not seeing them make any more if penetration in the market you’re clearly doing something right. Has the way you’ve gone to the market or the things you’ve been doing to maintain your markets are in grow, have they changed at all relative to what would have been the case at least five or 10 years ago? Because where we sit anyway it does seem like there are a greater number of larger companies trying to get into head strong hold on. Thank you guys and again good luck on the quarter.
Stephen Hagge: Thanks, George. It’s a – first of all if you look back five or 10 years, I think Aptar has changed a bit how we’ve looked to the market. We were I think in five 10 years ago it was more of a product focused company, we had closures, valves, pumps today we’re much more market focused and. And I do think to some degree some of our competitors are trying to copy that. You first look at the market and then they go to the submarket to understand the consumer needs and as a result, being able to work with our customers to meet those needs. I think that is a very key differential that is helping us bring more innovation to the market, and bring us into market that we weren’t in the past. I mean you look at some of our Food and Beverage applications whether it’s orange juice or others, we’ve already been in those markets two to three years ago. So I think in terms of what we do it’s always been very competitive, for us it’s staying close to our customers. And yes, there is a lot of competition, but I think what we do we do really well. But I can’t give you much more than that George, but it’s always been a challenge but I think when you focus on the innovative side of the expense line it really helps us long term and we think that will that strategy works for us going forward.
George Staphos – Bank of America/Merrill Lynch: Steve do you think long term that, that basically obviously maintain your core growth rate forecast to one of your earlier questions. Do you think the new approach and that mix of competition means that margins longer term might not necessarily keep up with revenue? Or do you think you still have the same ability to improve margin or return a capital like you’ve done over the last several years through the new approaches that you’re bringing in the market focused etcetera more productivity driven certainly as well but coming point over the years?
Stephen Hagge: Well, I think we’re still very confident that we’re going to continue to improve the margins to the levels that we’ve talked about. And the other thing that I think we like to do is look at we’ve got to these new markets it’s potentially new products that we might be able to offer. So we’ve looked at other things that are in the dispensing areas that we might be able to offer those to better understand the market needs from the consumer in different market sections. So that I also think will add to the future growth of the company is we’ll become may be broader in the product portfolio that we’re going to offer in the future.
George Staphos – Bank of America/Merrill Lynch: Okay. Thank you very much. Have a good quarter guys.
Stephen Hagge: Thanks.
Operator: Thank you. Our next question is a follow up from the line of Brian Rafn from Morgan Dempsey Capital.
Brian Rafn – Morgan Dempsey Capital Management: Yeah Steve you talked about core sales growth kind of 6% to 8% do you see going forward for the next few years is that primarily centric on unit volume or you’re seeing pricing inflation creep into some of that support?
Stephen Hagge: Most of that Brian would be volume something certainly you have pricing, and I’m assuming today that inflation is relatively miles and when get to 6% to 8% if you have 20% inflation certainly those numbers will adjust. So those tend to be adjusted and it’s mostly volume little bit of a mix impact but it’s mostly volume.
Brian Rafn – Morgan Dempsey Capital Management: And then in the cosmetic fragrance side, what are you seeing in that specific market is that is your strength both in the kind of the high end premium fragrances versus some of the lower brand economy brand. How do you see that market relative to kind of levels of quality?
Stephen Hagge: Again in terms of I think flip that a bit I think in the fragrance market we’ve seen pretty good strength, not as strong may be net to net quarter 3% to 4% on the fragrance side upper end call it prestige side as well as the math side. On the cosmetic side which will be the lotion that we’re seeing probably higher growth rates because I think there our customers are using that as a differentiating feature and again we’re seeing both across skincare and I mentioned that in my prepared remarks, skincare on the facial both body care. So again we’re seeing both of those continue to grow but at a faster rate than the fragrance side of our business.
Brian Rafn – Morgan Dempsey Capital Management: Okay. Thanks guys. Appreciate it.
Operator: Thank you. And this does conclude the question-and-answer session of today’s program. I’d like to hand the program back to Mr. Hagge for any closing comments.
Stephen Hagge: Well again I’d like to thank everybody for participating and we look forward to talking to you next quarter. Thank you.
Operator: Thank you, ladies and gentlemen, for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.